Operator: Ladies and gentlemen, thank you for holding and welcome to Suzano's Conference Call to discuss the Results for the First Quarter of 2023. We would like to inform that all participants will be in a listen-only mode during the presentation that will be addressed by the CEO Mr. Walter Schalka and other executive officers. After the company's remarks are completed, there will be a question-and-answer session when further instructions will be given. [Operator Instructions] Before proceeding, please be aware that any forward-looking statements are based on the beliefs and assumptions of Suzano's management, and on information currently available to the company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. You should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of Suzano and could cause results to differ materially from those expressed in such forward-looking statements. Now, I would like to turn the floor over to the company's CEO. Please Mr. Walter Schalka, you may proceed.
Walter Schalka: Welcome everybody to the first quarter release meeting that we are discussing today. It's a great pleasure to have all of you. With me today, we have several members of the C level of the organization. In the end, we'll be prepared to answer your questions. I think it's very clear that this quarter, we were able to generate R$3.7 billion -- or to invest R$3.7 billion on investments on CapEx. And even on this scenario, we kept our flat debt at $10.9 billion. On the commercial side, we had sales on the pulp side at 2.5 million, in line with the first quarter of last year. And the paper, we came back from our usual trends that we have lower first quarter, and we were able to increase a little bit our inventories to prepare for the second half. This trend was changed last year due to large volumes on exports. But this year, we revert to the old trend. And our inventory levels at pulp are at below optimal levels. On operational performance, we had R$6.2 billion on EBITDA, a little bit over 20% higher than the same of last year. Our operation cash generation that we believe there is the right KPI to train Suzano. There is EBITDA less CapEx sustaining, we had R$4.7 billion and our cash cost, and we are going to discuss a little bit more in details, was flat comparing with the previous quarter. We have a very strong balance sheet. We do have right now in cash and in credit lines $6.1 billion at this point of time. As I mentioned before, our net debt is $10.9 billion and very comfortable with almost seven years of average maturity, and our leverage is 1.9 times net debt over EBITDA. I would like very pleased to share with you some information regarding ESG. We are able to deliver our sustainability report before the AGM that happens this week. It was the first time that we're able to do it. It is very comprehensive and it's very detailed information. There is with full transparency to the market. And we had the carbon credits approval from the first time, the first project that we had. This is the several programs that we are going to have in place. This amount is around 1.7 million carbon credit tons. We had on this first quarter the approval of our through on the guide on the antitrust authorities of our acquisition of the Kimberly Clark Tissue operations here in Brazil, and we expect to completing this transaction on the second quarter of this year. Now, I'm going to pass to Fabio. He is going to share with you information regarding Paper and Packaging business.
Fabio Almeida de Oliveira: Thanks Walter and good morning everyone. Let's turn to the next slide on the presentation. Paper and Package business unit has delivered solid EBITDA during the first quarter of 2023, despite more challenge mark scenario in the international paper markets. Shipments for print and writing papers and paperboard have decreased in the main international markets at the beginning of 2023, giving a restocking move that has begun at the end of last year. Demand in the domestic market has been more resilient for both print and writing and packaging grades. According to [Indiscernible], demand for print and write papers in Brazil decreased by 3.2% in the two first months of 2023 compared to the same period of last year. However, this decline is largely attributed to the strong comparison base from last year when encoded papers were sold into the containerboard segment. If we exclude these volumes, we estimate the domestic demand for print and writing has still grown. Domestic demand for paperboard increased by 3% on the first two months of this year compared on a quarter-over-quarter -- on a year-on-year basis, driven by sustained consumption of essential good and even thermalization in the chain. The supply imbalance start fading and demands returned to its historical trend in mature markets. In emerging markets such as Latin America, there's still some demand growth fostered by some segments, textbooks, for example. Suzano sales volumes in the quarter were 11% lower on a year over year basis. The decrease the sales volume is explained by our commercial decision to reduce our offering to the export markets given the high level of paper stocks in the chain in most markets. This decision allowed us to replenish our own paper inventors that have been running low optimal levels for 2022. Domestic sales represented 72% of our total sales in the quarter. In the last two years, we have had higher paper prices as a result of supply restrictions coinciding with demand recovered post-COVID. However, as these factors are now fading, markets are returned to their secular demand behavior. Prices in spot markets have a red falling, but remain stable at healthy levels in North America and Western Europe. In this market, supply are just in their operating rates to match demand. In Brazil, prices have trailed behind those international markets in dollar terms for most of last year, providing an opportunity for some price increases at the end of 2022, which were implemented during the first quarter. Our price in the first quarter was 32% high on a year over year basis. Our EBITDA has reached R$708 million, a 35% increase on a year-over-year basis. This is our highest EBITDA and EBITDA per ton for a given first quarter. Looking ahead, we should expect demand for print and write rates to return to secular trends. Higher demand for packaging rates should continue to outpace GDP growth to the sustained -- due to sustainability push. Suzano's Paper business is more concentrated in the domestic market, which is less volatile to supply/demand imbalance seen in some of the international markets. Although there was still some inflation around material and energy during Q1, it showed some signs of cooling down, offering good perspectives for the remainder of the year. It's worth mentioning that the structural competitiveness of Suzano Paper and Packaging business provides a solid ground to navigate on unforeseen market demand. Now, I will turn it over to Leo, who will be presented at our Pulp business results.
Leonardo Grimaldi: Thanks Fabio and good morning everyone. Let's move to the next slide of our presentation so that we can address the results of our full business unit for the first quarter of 2023. As you can note on the upper left graph, our Q1 sales volumes were 3% higher than Q1 2022 and 11% below the preceding quarter, which has a higher seasonality effect. Due to our Q1 sales performance, our inventories are still below optimum operational levels as mentioned by Walter. During the past quarter, demand has been quite mismatched in different regions of the world. In Europe, while the Tissue segment was quite resilient, Printing and Writing as well as some specialty grades mostly related to the labor markets, continue to face lower order intake as distributors and printers continue their destocking movement. In North America, most of the hardwood consumption is concentrated on the Tissue segment, therefore, hardwood pulp demand was quite stable. In China, demand for pulp, reflecting order intake, was increasing throughout the quarter with a bigger concentration in March. Production levels in most paper segments, as well as every board were quite high, and actually above historic levels keeping pulp inventories across China's chain quite normalized and balanced. As pulp demand in Europe was lower than expected due to this paper destocking movement, we noticed both volumes being redirected to China, putting more pressure in this market where price reduction were more intense than other regions of the world. Now, coming back to the slide, our average export price for Q1 of $719 was 13% below Q4 and 13% higher than our prices in Q1 2022. During the quarter closing, actual prices in China were lower than market indexes as most orders were closed on the very last days of the month after prolonged negotiations which took place during the Shanghai Pulp Week. The Q1 EBITDA performance was mainly driven by solid sales volumes as already addressed, which despite lower prices led us to an EBITDA of R$5.3 billion, representing 57% EBITDA margin. Now, looking forward, I would like to highlight the following points. In China, we keep noticing quite an optimism from our customers with improving confidence levels and a general expectation that consumer confidence and spending will accelerate in the short-term, also helped by the recovery of paper and carton board exports. Order intake for Suzano in April should be much aligned with March, trending quite close to historic levels. In Europe, we expect that distributors and customers restocking will last a couple of months, and soon this will stimulate the recovery of purchases of paper and consequently pulp in this market. In the Tissue segment, we continue to see quite stable and resilient markets with positive downstream demand. In North America, again, focusing on Tissue, as other paper grades are mostly integrated, most major producers are reporting to be running at steady and positive rates. Looking now on the supply side of the equation, we expect this momentary reshuffling of volume between Europe to other regions should persist in the beginning of Q2 and regarding new capacities, as we have stated previously, we expect that they will reach markets gradually, possibly more significantly towards the second half of the year. We expect that unexpected downtimes will continue to put additional pressure and unforecasted pressure on supply due to the technical age of pulp producers weather related event, strikes, as well as cost pressure and availability of wood in several regions of the world. It is our view that the current price levels in China and other Asian countries are quite below marginal cost producer and we expect that this will generate a lower domestic market for production in this region, as well as we fact that several integrated BHKP and paper producers should reduce their pulp production turning to purchasing of market pulp. Indeed, since March and April, we have noticed the first inquiries from this profile of customers. With that said, I would now like to invite Bacci to address with you our cash cost performance for the quarter.
Marcelo Bacci: Thank you, Leo. Moving to page six, we see that we had a flattish performance of our cash cost in relation to the previous quarter, which is according to our expectations. And that is due to higher maintenance costs due to annual shutdowns that also impacted the fixed costs and compensated the positive effect that we start to see coming from the commodity prices. We already see lower input costs that will support similar levels of cash cost on Q2 despite the higher amount of planned shutdowns in that period. We expect cash cost on the second half of the year to be lower than the current level at current commodity prices. Moving to page seven. The Cerrado project continues to perform on time and according to the budget that we had established for the project. We now have 57% physical progress on the project. We have updated the amount of CapEx taking into consideration the inflation correction that is part of the contracts that we had -- that we have with our suppliers on the project. That inflation is R$1.9 billion between the beginning of the contracts and the end of 2023. We have also had gains of R$300 million on FX when compared to our budget to the realized payments that we made on dollar and euro-denominated parts of the project. That leads to an amount of R$20.9 billion. In addition to that, we found opportunities to make instead of buying several items of the project that will improve the return of the project, that includes chemical plants, [Indiscernible] facilities, and some forestry assets. And that leads to the possibility of keeping unchanged our guidance of cash cost for the project in the future, even taking into consideration the high inflation of the period. We keep also unchanged the guidance of CapEx for 2023 with all the difference impacting only in 2024. Moving to page eight. We see that our net debt remained flat at $10.9 billion in the period despite the $800 million CapEx that we made on the period. The leverage ratio went to 1.9 times, and our liquidity remains very high at $6.1 billion, which is more than everything that we had maturing between now and the end of 2026. Finally, on page nine, we show that we currently have a $7 billion portfolio of FX derivatives, which covers including the hedges related to the Cerrado project includes and covers 67% of our FX gap coverage in the next two years, where we have an average put of R$5.63, which gives us a very significant protection when compared to the current level of effects that we see on the market right now around R$5. With that, I turn back to Walter.
Walter Schalka: Thank you, Marcelo. I think it's very important to mention to you and to reinforce the point that we keep our avenues -- strategic avenues for the future. We have five different avenues, one of them is to keep our DNA on reducing our total cash cost. All the projects are in place right now. Next month, we have Jacareí plant retrofitted, we have [Indiscernible], and we have been working on the forest side and logistics as well to reduce our total cost. The second strategic avenue that is quite important is our relevance on the a pulp mark global pulp market, Cerrado will come next year to reinforce the point. The third one is our strategy on vertical integration, and then we have Kimberly Clark assets as one part of this view for the future. On the fourth, we have the new avenues, the new alternatives that we have to our trees, and it's -- we are very pleased to tell you that we had MFSC operating in Brazil and in Finland at this point of time, and we are looking for new opportunities on this area. And if one is sustainability and carbon certification is one of the advanced advancements that we had during this quarter. We will keep our strategy -- commercial strategy for pulp on paper. It's very important that our ambition is not to increase our inventories on the pulp side, and we reinforce the point that the company is managed by event and not by average. Like just to bring forth this point to you and we will not increase our inventories on the near future. Our cash cost is an opportunity that we will have that trend in the third and fourth quarter of this year. And just to reinforce our policy, our financial discipline and our capital discipline as well. We have a very strong balance sheet and we will keep this a very clear strategy and very clear policy that we have right now. And now we are very pleased with the Cerrado project, that is some time on budget. This is going to be a project that is going to transform Suzano. It's going to be the lowest cash cost on our system. And from our understanding, the lowest cash cost in the world, and we are on track to deliver that as we expected and related with our original track record on time and on budget. Now, we will be ready to answer your questions. Thank you very much.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Thiago Lofiego with Bradesco BBI.
Thiago Lofiego : Thank you. Good morning, everyone. Two questions on my side. The first one, Leo, what -- we have been hearing about pulp being sold at around 450 already, so 450 to 480. And that it's apparently enticing integrated producers to start buying market pulp. So the question here is how big is that potential additional demand? And how quickly do you think those integrated producers can switch on and off those purchases? Second question, budge -- on the leverage side, if prices remain let's say, around $500 per ton for a long period of time, which was the case of the last cycle, would leverage be of any concern in my calculations here, we could see leverage potentially surpassing five times for a few quarters in that scenario, right? Just wanted to hear your thoughts on that. Thank you.
Leonardo Grimaldi : Thanks, Thiago. This is Leo here to answer your first question. So, related to how big is this potential of integrated BHKP and paper producers in China, to reduce their BHKP production and generating additional demand for pulp. This is quite hard and difficult to estimate no consulting company covers this number or even give track records on that. But if you consider that there are between 8 million and 9 million tons of integrated BHKP and paper producers in China, reduction in 10% of their production would account for roughly 800,000 tons of additional demand for BHKP. But again, this is just an estimate in a correlation with 10% decrease to that sense. It's very hard to precise on that. And it's even harder to precise on how quickly, because that depends on the strategies and the financial plannings of several of these producers, so we cannot comment on that.
Thiago Lofiego : And just a quick follow-up. Are you guys seen that on the ground already happening or this is just the potential…
Leonardo Grimaldi : Yes. 
Thiago Lofiego : Yes. Go ahead.
Leonardo Grimaldi : Okay. Good. As I mentioned in my speech, since March, we have started to see that. So we have started to get inquiries and actually not own inquiries, but we sold to integrated BHKP and paper producers, and this trend is ongoing in April as well. And I believe it will be increasing significantly throughout the next month.
Thiago Lofiego : Okay. Thank you.
Marcelo Bacci : Thiago, this is Marcelo speaking. In regards to your question, we have guided before the market that we have established a limit to our net debt that we don't expect to surpass, which is $12 billion, we are currently at $10.9 billion. In any of the scenarios that we foresee today, we will surpass the $12 billion, of course, the net debt to EBITDA ratio will increase as a result of EBITDA coming down. But the increase on the net debt level will be minor from this point. We have in availabilities today enough cash to cover the maturities that we have in the next four years, which means that we don't have any needs to go to the market to refinance anything in that period. And therefore, any potential impact on leverage will not have a visible impact on the cost of our debt or availability of funds. So we are not concerned with the leverage at this point. Of course, we will be continuing to manage company on a very disciplined way when it comes to capital allocation and also financial discipline. But we don't foresee any issues coming from the financial side in the feasible future.
Thiago Lofiego : Okay. Thank you, Bacci. Thank you, Leo.
Operator: Thank you. Our next question comes from Leonardo Correa with BTG Pactual.
Leonardo Correa : Yes, good morning, everyone. So my first question, on the marginal ton of Suzano, right, if we look at the highest cost lines of Suzano, guys, I just wanted to hear you on how that is performing or how that could be performing profitability wise, right, or EBDAP per ton wise, in a scenario of pulp prices moving for $450 to $500, right? So just wanted to hear you on how, let's say the marginal ton of Suzano is performing in this scenario, which is clearly quite aggressive and as Leo pointed out, quite below marginal cost of production, right? So I just wanted to hear you. I know that Suzano obviously is the lowest cost producer in the industry, but within the production lines of Suzano, I can imagine that some lines could be under some pressure in this pricing environment. So that's the first question. The second one, moving back to capital location still on the question from Thiago, I mean, looking at the, I mean, medium term prospects, right? So how do we, I mean, the project, we're getting into peaks of the CapEx cycle, and of course, the pricing environment hasn't been helping and probably won't help much over the next quarters. But just for the sake of the argument, if we were to incorporate $550 as an average for the next years, leverage would probably peak at about 3.5 times net of EBITDA, which is not alarming, but is perhaps a bit higher than what you guys would like through the cycle. So how are you viewing the medium term outlook on capital allocation and balance sheet? I mean, would it be a fair assessment that after Cerrado is concluded at the end of 12/2024, I mean, Suzano would be on a deleveraging mode from 25 to 27, where I mean, very little big projects would be announced, and it would be more of a deleveraging story. Just wanted to get your sense on how we should view the investment case beyond Suzano. So those are the two questions. Thank you very much.
Leonardo Grimaldi: Hi, Leo, this is Leo here to answer your first question, which was briefly addressed by Walter on his closing speech. Despite Suzano and our competitiveness and ability to navigate in different scenarios, in different markets and areas, we always analyze costs, not only on average terms, but on an event basis, analyzing specific fourth quartile costs of wood and production. However, I would like to reinforce that our plan, our commercial plan, is based on following closely and supporting our customers' needs, as well as not increasing our inventory levels, as also stated by Walter.
Leonardo Correa: Can you give us any detail, Leo, on profitability of your, let's say, of your last ton, of your marginal ton?
Leonardo Grimaldi: No, this is an information that we don't disclose, unfortunately we don't disclose it.
Leonardo Correa: Okay, thank you.
Walter Schalka: Leo, in regards to capital allocation, if we, in a scenario like the one you described, the peak of our leverage will be right before we start the Cerrado line. And after we start the project, we will be generating more cash and therefore reducing the leverage. Depending on where the market goes, we're going to have more or less capital to allocate, but it's fair to assume that the peak will be right before we start Cerrado and many additional capital allocation decisions will come after that startup.
Leonardo Correa: Thank you, guys.
Operator: Thank you. Our next question comes from Daniel Sasson with Itaú BBA.
Daniel Sasson: Hi, everyone. Good morning. My first question may be on CapEx, the region that they made for Cerrado. Your forest logistics and other CapEx increased from 4.6 to 6.3. I just wanted to get more color on the forest part. I mean, was that increase only because of the port issue that you mentioned or is it also related to land acquisition? My question is related to or is focused on that because I'd like to know if you could give more details on how land acquisition for Cerrado is progressing, right. The competition for land has been fiercer or getting fiercer over the last years. And I was wondering if maybe Walter, if you have a view on potential challenge to acquire new lands for eventual new projects, if that couldn't delay the next big investment, not only for Suzano, but maybe for the industry. And my second question is how you guys are seeing inventory levels for your customers, right? I mean I think that Walter mentioned that for Suzano inventory levels are slightly below normalized levels or close to normal levels, but the question goes to at what point maybe we could see your customers building up inventories and going back maybe to more normalized levels if you think that they are below where they should be. Thank you.
Walter Schalka: Thank you very much, Daniel. It's Walter answering here. I'm going to start your first question. Just start clarifying something. We do not have any kind of cost overrun on this project. The first part is just adjustment on parametric formulas that we have with our suppliers regarding inflation mainly labor inflation that we have during this period. Then in the -- in the -- if you consider the currency of 2021 we are exactly at the same level that we were before. Regarding the make or buy, we always make an analysis on higher net present value of the alternatives or making or buy. And then for some chemicals such as sulfuric acid, some such as logistics and as a terminal in the Santos port or with alternatives on the land that would be make or lease, in this case, lease or buy a land, we would changing depending on the alternative that we have at every time. And then this 1.3 additional CapEx is not related with the project, is related with alternatives that we have in terms of make or buy. Our land banking is increasing a lot. Last year we increased our land banking in 400,000 hectares with acquisitions such as Parkia and Caravelas and we keep increasing our land banking for the future. This year, we keep our investment plan of planting 300,000 hectares of forest this year. Then we will keep our strategy preparing the company for the future.
Marcelo Bacci: If I can complement here, we do see more future competition for land and forest and this will probably have an impact on the speed that potential future projects may come to the to the market for us and also for the competition.
Leonardo Grimaldi: Okay. So now jumping in, Daniel, this is Leo here to talk about the inventory levels, pulp inventory levels for our customers in North America. They are quite normalized, have been quite normalized for several quarters. In Europe, they are also normalized because as we sell from our local terminals customers anticipate their planning with us several months ahead. So, this reducing operating rates mentioned by Fabio in his presentation to equate for a lower demand in Europe was anticipated to us was and they have quite normalized inventories in their sites. However, we see some inventory increase in European ports and I believe this will take some time to normalize. As again, we expect that part of the shipments being that were originally scheduled to go to Europe are being redirected to other regions in the world. In China, we don't see any inventory buildup in the hands of customers. We were there recently. Our teams are commercial teams are also reporting from recent visits and with our customers. And we don't see inventory builds up build up at this point of time. We also don't see inventory buildup at the port. We see inventories at the ports for all upgrades quite normalized in that sense. And the expected restocking of Chinese customers has not started yet.
Daniel Sasson: Thank you, Leo, Walter, and Bacci.
Operator: Thank you. Our next question comes from Jonathan Brandt with HSBC.
Jonathan Brandt: Good morning, gentlemen. Thanks for the opportunity. Leo, I wanted to ask you about your inventory levels. I know, Walter, you're saying that you're not going to increase them, but for several quarters you've been saying that they're very low. I'm just wondering, is this the new normal level of inventory? Can you run it at this level of inventory going forward? You do have significant maintenance downtimes coming up in second quarter and the third quarter. So, how should we think about, sales volumes for these quarters as it relates to inventory levels, right? I mean, do you see continued destocking from your inventory? Is there enough production in the next couple of quarters to meet your contracted demand? I guess, that's the first question. My second question is, if you could help me understand where the booking is for pulp prices over the next couple of years. We have prices now at $450 to $480. You're saying that we should expect to see some increased supply in the second half from the new capacity that was brought on. You have your new project coming up in the second half of 2024. Do you expect demand to be that much better to sort of soak up the new capacity? Or, you know, should we expect, this level of pulp prices, call it, you know, 450 to 500 for the next couple of years? Thank you.
Leonardo Grimaldi: Jonathan, this is Leo here. I will answer both of your questions. As you have the first one related to Suzano's inventory levels, right, as you have been noticing during our past quarterly presentations, we are reporting always below optimum levels. And we were able to navigate and run our operations with inventories below this optimum set point. This is not ideal, as it stresses our system, but we have learned throughout the best quarters to navigate and to operate this way. And this is quite important because as we see a more adverse scenario coming in to towards the second quarter of the year having this lower inventory levels puts us in a more comfortable position. Regarding our long term view on pricing, we again did long term view on pricing. We are always very positive on the fundamentals of the pulp segment meaning that we see growing demand not only organic growth, but also demand coming from fiber substitution favoring hardwood as well as fossil substitution favoring all kinds of hope as, well as we don't we when we match our long term expected demand with this three variables with the upcoming capacity it gives us a very comfortable position and therefore we don't expect that long term pulp prices should be much different than historic average prices, which, as you know, is around $600 to $620 CIF China rate.
Walter Schalka: Just to compliment the point that Jonathan is well to telling we learn from our mistakes. We had a mistake on our commercial policy in 2019 when we had a huge increase on inventories. We decided not to replicate that model anymore. We will keep our inventories at low level. Of course, we can have a marginal change on that, but not significant change on that. But in the other hand, we have been analyzing, oh, as Leo previous discussed, all the dispersion in terms of our costs on our systems. Then we are all the time tracking that situation and tracking what would be the potential implication of pulp prices to stay for a long period of time at lower than the marginal cost of our peers. We believe that the price level that we have right now it's much below the marginal cost of the fourth quartile and we don't think there is sustainable for a long period of time. It's an issue, it's how long I cannot answer that. This situation will be addressed.
Jonathan Brandt: Okay. And Walter, just to follow-up on that point, I know Leo, you mentioned you don't disclose sort of the marginal ton of Suzano and sort of what the return is. But are you comfortable in saying that at these pulp prices that all of the pulp that you're putting into the market is earning your required return? Is it earning a return above the cost of capital?
Walter Schalka : Oh, it's not true. At this price level that we have right now, certain volumes that we have 100% of them, we have a positive cash generation, but some of them do not give enough on capital return on capital employed.
Jonathan Brandt: Okay. But you're not prepared to take those volumes off the market. Is that right?
Walter Schalka : We will follow very close the market situation, and we do not have very clear position on that. This quarter and next quarter, we are going to have a lot of and well shut downs, we are going to have, by chance, the situation that we are going to have lower production volumes due to the situation. But we will follow very close the situation of the market to see what would be our potential commercial reaction.
Jonathan Brandt: Thanks, Walter. Thanks Leo.
Walter Schalka : Thank you.
Operator: Our next question comes from Jens Spiess with Morgan Stanley.
Jens Spiess : Yes. Hello. Thank you for taking my question. I just wanted to ask on the integrated producers in China driving additional demand. At what price did you see them starting to make inquiries into orders for them placing orders? Sorry. And that might give us an indication of what their costs are? And once if pulp prices start to increase, when they will again increase production and stop buying from you? And my second question, I know it's not extremely moves the needle, but on the Kimberly Clark assets, if you could give any color and how I don't know like prices per ton and also profitability compares to your current footprint just for modeling purposes and what we should expect there going forward? Thank you.
Leonardo Grimaldi : Jens, this is Leo. To answer the first question, you have made us related to at what price should Chinese integrated BHKP [ph] and paper producers start reducing or stopping their production. This is very difficult to answer, because there is a big dispersion on the cash costs of these producers which add up to 8 million or 9 million tons. We were recently at Shanghai Pulp Week one of the presentations done by a Chinese company, which is very much aligned with knowledge that we have and with our view as well show that at that time, the production or the cash cost of pulp cash cost of these integrated mills ranged between $600 to $700. I believe there is a slight decrease on that. We saw place some wood prices falling, which we believe will affect the cash cost not only of this integrated guys, but also from market pulp players in $20 to $30 from what we had seen before. So with that said, our expectations is that their cash cost today ranges from $575, $580 to up to $680. So it's quite high. But the moment that they're going to start either reducing or stopping their pulp production is very hard to say?
Luis Renato Costa Bueno: Hi. Thanks for your question. This is Luis Bueno answering regarding the Kimberly Clark question. Kimberly Clark's tissue products here in Brazil, they usually sell with a premium 20% to 30% above the average of the market. And this is throughout all the channels and also the regions in Brazil. So this premium has on the product is something that we will also continue to have in the market as from June on.
Jens Spiess : Okay. Perfect. Thank you.
Operator: Thank you. Our next question comes from Marcio Farid with Goldman Sachs.
Marcio Farid : Good morning, everyone. Thanks for the time. Couple of questions on my side. Maybe the first one to follow Fabio. How should we think about the paper business? I mean, he started as a very high correlation in terms of EBITDA per ton profitability for both pulp and paper. But paper has been clearly surprising to the upside really in the last few years. So just trying to understand as you go into this kind of more challenging scenario for pulp, can we expect the paper business to behave in a more stable way? We're seeing European weakness quite high. European producers have reported basically zero EBITDA ready for the first one for the rough paper business, right? So just trying to understand if we can see some offsetting for both in terms of paper EBITDA. And then in the second question, I know this has been quite late discussion this call, but just thinking about as you go into a heavy downtime season in the second quarter. Is there anything that we should think about in terms of longer maintenance maybe because, obviously, at current market, you kind of use the hurry to do the maintenance all the time. Don't necessarily need to do it 10 days, maybe 15, 20 or whatever, I mean, is there. Is it a good time to take a breath and maybe do more work in the news than you do if you had a spare time. I think that's the point. Thank you?
Fabio Almeida de Oliveira : Marcio, good morning, it's Fabio here. Thanks for the question. Regarding the paper EBITDA that we have had in the first quarter and our how we see the business. You're right. There's a high correlation between pulp prices and paper price, but that is valid only for international markets. In the domestic market here, the market is more consolidated, and we have some business drivers like, the national books from the government that drives demand in the local market. So in the domestic market, the correlation goes more with the exchange rate than pulp prices. And for the last two years, we have had a situation where the paper prices in international markets were above our domestic markets. And that this is not usual. So what we're seeing now, we're seeing a correction of the domestic market prices upward, we have done a price implementation at the end of the year. We have been successfully implementing that in the first quarter. And as -- and we are seeing a correction downwards in the prices in the international markets. So all-in-all, we start the year in a much better placed than what we started last year in both markets in international and domestically. But the trend for international is the opposite for the domestic market. And as we have our -- the bulk of our sales, more than 70% in the domestic markets, we're still hopeful that we should see reasonable health year for the paper business. Going back to the seasonality that we have had pre-COVID, where we build inventories in the first half of the year to sustain the demand in the second half of the year.
Walter Schalka: Marcio, this is Walter, answering your second question. Thank you for the question. We are keeping our annual shutdown as planned. We are not going to have any kind of extension on the period of the shutdowns that we have at the plants. It's very important to mention that at Jacarei, we had planned a little bit longer period of time to due to the retrofit that we are doing in our plant over there, but just was planned before and we are not going to change that.
Marcio Farid : That's very clear. Thanks a lot, Fabio and Walter. 
Operator: Thank you. Since there are no further questions, I would like to turn the floor back over to the company's CEO for final comments. Please, Mr. Walter Schalka, you may proceed.
Walter Schalka : Thank you very much for joining us for this session. It's very important to reinforce the point to overview that our financial discipline and capital discipline will continue on the next coming quarters and years, even on a very asset scenario, we are keeping our CapEx that we have planned for this year and next year. We are very pleased with the Cerrado project that is going to transform our self into an even more competitive company for the future. And very pleased to see that we have new avenues for the future, a new business in one side in vertical integration on the tissue business in the other side, and preparing the company for the future. I'm very pleased with the developments of the company and very clear and transparency to all of you on our trends for the future. Thank you very much, and have a very nice weekend.
Operator: Thank you. Suzano first quarter results conference call is finished. Have a nice day. You may disconnect your lines at this time.